Operator: Ladies and gentlemen, thank you for standing by, and welcome to the Second Quarter 2020 Generac Holdings Inc. Conference Call. [Operator Instructions] Please be advised today's conference is being recorded. [Operator Instructions] I would now like to hand the conference over to your speaker today, Mike Harris, Vice President of Investor Relations and Corporate Development. Thank you. Please go ahead, sir.
Mike Harris: Good morning, and welcome to our second quarter 2020 earnings call. I'd like to thank everyone for joining us this morning. With me today is Aaron Jagdfeld, President and Chief Executive Officer; and York Ragen, Chief Financial Officer. We will begin our call today by commenting on forward-looking statements. Certain statements made during this presentation as well as other information provided from time to time by Generac or its employees may contain forward-looking statements and involve risks and uncertainties that could cause actual results to differ materially from those in these forward-looking statements. Please see our earnings release or SEC filings for a list of words or expressions that identify such statements and the associated risk factors. In addition, we will make reference to certain non-GAAP measures during today's call. Additional information regarding these measures, including reconciliation to comparable U.S. GAAP measures, is available in our earnings release and SEC filings. I will now turn the call over to Aaron.
Aaron Jagdfeld: Thanks, Mike. Good morning, everyone, and thank you for joining us today. We're excited to discuss our financial results reported earlier this morning, in which sales, adjusted EBITDA and adjusted EPS were all records for a second quarter, and were led by strong growth in residential products of approximately 27%. Relative to expectations, second quarter revenue dramatically exceeded our prior forecast, and adjusted EBITDA margins were much higher than previously forecasted, primarily due to the higher-than-expected shipments of residential products, which led to a considerable favorable mix impact on profitability. Home standby shipments came in significantly higher than our prior forecast, primarily driven by robust demand as a result of the heightened awareness of the need for backup power since the onset of the COVID-19 pandemic. We also experienced higher-than-expected growth for Chore products sold directly to consumers as homeowners increased outdoor project activity while spending more time at home. As expected, the ongoing pandemic around the world had an adverse impact on demand for C&I products during the second quarter, but collectively, shipments were modestly better than our prior forecast. On a year-over-year basis, net sales increased approximately 1% during the second quarter of 2020 as compared to the strong prior year second quarter. Gross margin, excluding the impact of restructuring charges, expanded 330 basis points compared to prior year. And adjusted EBITDA margin was very strong at 22.5%, increasing 190 basis points over the prior year as both exceeded our expectations primarily due to favorable mix from higher-than-expected shipments of residential products. Before discussing second quarter results in more detail, I wanted to stress that as the COVID-19 pandemic continues to grow, a high degree of uncertainty exists regarding the magnitude and timing of an economic recovery and the potential impacts on our end markets and overall business. However, what appears to be fairly clear to date is that demand for our residential products is significantly benefiting from an emerging trend that we are referring to as Home as a Sanctuary, where millions of people are working, learning, shopping, entertaining and, in general, spending more time at home. Primarily as a result of this trend, along with the elevated concerns about future outages, we are significantly increasing our full year revenue and earnings outlook for 2020, including much higher expectations for the second half of the year. We'll provide further details regarding this updated guidance in the outlook portion of our prepared remarks this morning. Now discussing our second quarter results in more detail. Shipments for home standby generators during the quarter once again increased at a very strong rate compared to the prior year driven by the heightened awareness since the onset of COVID-19 and also benefiting from the elevated outage activity and awareness events in recent years, an above-average hurricane forecast for 2020 and a significant increase in demand in California. Several key metrics that we monitor closely for home standby demand continued to be exceptionally strong during the second quarter. Activations grew at a very substantial rate compared to the prior year, with broad-based strength across all U.S. regions and Canada. This strength was led by robust growth in the West region driven by California and the South Central and Southeast regions. The combination of in-home and virtual consultations rose dramatically during the second quarter, with broad-based strength across the country and outsized growth in California, Florida and Texas, in particular. More importantly, home consultations during the quarter experienced strong growth in every single state in the contiguous U.S. which we believe supports our view of the emerging Home as a Sanctuary trend. The power outage severity environment also continues to trend above baseline levels with outages significantly higher during the second quarter relative to the prior year. In fact, outage severity on a trailing 12-month basis has notably exceeded the long-term baseline average in recent years. We also ended the second quarter with over 6,700 residential dealers, an increase of approximately 650 or 11% compared to the end of the prior year second quarter. This includes a significant increase in California, ramping up to over 450 dealers at the end of the quarter from approximately 200 dealers at the end of the prior year second quarter. More recently, early in the third quarter, these key demand metrics for home standby have continued to be much higher relative to prior year levels. Specifically regarding home consultations, as previously discussed during our last earnings call, we mentioned that April home consultations were up approximately double versus the prior year. And since that time, this tremendous strength has continued through July. We believe this increase can be attributed to several factors: overall power outage severity continuing to trend above baseline levels; second half predictions for a well above-average Atlantic hurricane season; the prospects for an active wildfire season in California; and now, the emerging trend of Americans viewing their homes as a sanctuary. Importantly, our dealers now have the ability to offer a homeowner a traditional in-home consultation or one that can be largely conducted remotely, which we are referring to as a virtual home consultation or VHC. During the second quarter, we rolled out the VHC process through aggressive communication and training. And to date, our dealers are experiencing similar close rates and sales cycle times in relation to the in-home visits they have traditionally used. Recall that our previous guidance anticipated a decline in close rates, assuming a lower consumer spending environment during the pandemic. However, overall close rates have actually remained consistent with historical trends, which gives us confidence to raise the outlook for residential products for the full year. Also, the exceptional strength in home standby demand is occurring much earlier in the year than normal before we even enter the heart of the hurricane and wildfire seasons, which typically doesn't occur until the latter half of the third quarter or early into the fourth quarter. Should these additional events materialize, we could see additional growth, particularly for portable generators. With demand for home standby generators at an all-time high, we are working to aggressively ramp our supply chain and production levels to satisfy the increased demand for these products, and we are targeting to be at record daily build rates by the fourth quarter. This production ramp also includes the official launch next week of the industry's largest air cooled generator, a 24-kilowatt machine that will add to our broad product offering and increase our competitive advantage in the market. This product comes on the heels of a number of other industry-leading features and products introduced over the last several years that have continued to advance our goals of driving the availability, affordability and awareness of the home standby generator category. Further lending support of an emerging Home as a Sanctuary trend, we also experienced strong growth for our Chore products during the quarter, which significantly exceeded our expectations. Recall that Chore products consist of a wide range of specialty outdoor power equipment, including field and brush mowers, chipper shredders, log splitters, stump grinders and pressure washers and are used in a variety of property maintenance applications. The strength experienced during the quarter was led by the sale of these products directly to consumers as homeowners increased outdoor project activity while spending more time at home. So far, in the third quarter, demand for these products continues to outpace normal seasonality as homeowners spend much more time in the yards working on out of our projects. Rounding out our discussion on residential products is an update on clean energy. The secular growth opportunity within the U.S. market for energy storage and monitoring systems remains very compelling, through a combination of changing regulations, advancements in technologies, improving economics and the increased resiliency desired from these products. Although shipments of our recently launched PWRcell Energy Storage Systems contributed to the company's year-over-year growth in the second quarter, they declined on a sequential basis as the overall solar market was negatively impacted by a sharp drop in the pace of installations as a result of the COVID-19 pandemic. The decline in solar installations was due to permitting delays and other restrictions, including certain instances where this activity was deemed nonessential by certain state and local municipalities. The consensus expectation for the solar industry is for a V-shaped recovery for installations during the second half of the year. Based on this outlook and the visibility we have through existing orders and our sales pipeline, along with recent trends for home consultations and system activations, we're still expecting strong sequential improvement in PWRcell shipments during the third and fourth quarters. With the overall pullback in the solar market during the second quarter, we now believe shipments of energy storage systems for full year 2020 to be at the low end of our previous guidance range of 125 to 150-megawatt hours of product. This outlook remains significantly ahead of the expectations we discussed during our Investor Day last September, which reflects our success in the marketplace to date as well as the increasing level of solar-plus-storage attachment rates that the industry is experiencing, in part driven by homeowner concerns over backup power. Despite the COVID-19 pandemic, we're making good progress in building out our clean energy dealer base, ramping our technical support capabilities and reducing our system costs. In addition, we continue to be excited about our new Sunnova partnership, and we're off to a very encouraging start as we've begun engaging and providing leads to their distributors. We see the relationship as a strategic partnership and expect a solid sales ramp starting in the third quarter. We're also making important strides in growing this nascent market through targeted advertising, lead generation and virtual in-home sales capabilities. Our new clean energy infomercials began airing earlier this year and continues to be very well received, and is driving good lead volume into our recently launched lead management and selling system that we call PowerPlay CE. We have also made important progress thus far in 2020 in developing an innovative pipeline of new products that will be coming to market over the next several quarters. We believe these new products will further enhance our competitive position and differentiation in the energy storage, monitoring and management market and will ultimately provide what consumers really want, a whole house storage solution with load management capabilities that confide energy independence. While the impact of the pandemic has resulted in a brief softening in the market for energy storage for 2020, particularly in the second quarter, we believe the longer-term drivers remain firmly in place. With installations of these systems still forecasted to experience exceptional growth over the next several years, we believe we are favorably positioned to participate in that growth by leveraging our strong brands, innovative product portfolio and lead generation capabilities. With regard to our C&I products, it's quite clear that the COVID-19 pandemic is having a significant adverse impact on the overall market for power generation and related equipment given major declines in GDP growth rates around the world. Domestic shipments of C&I products declined during the second quarter at a significant rate as compared to the prior year, but we're modestly ahead of our expectations as discussed during our last earnings call. As expected, shipments of mobile products to national rental account customers declined significantly during the quarter, primarily due to the continued impact of the pandemic and the collapse in oil prices. Recall that demand for mobile equipment was already softening at the beginning of this year as many of our national rental customers were deferring some capital spending. The sudden decline in economic activity and corresponding drop in fleet utilization in March forced them to further and dramatically reduce equipment purchases, which has carried over into the second quarter. Shipments to national telecom customers also declined at a considerable rate on a year-over-year basis as compared to a strong prior year comparison as these customers initially deprioritized capital spending certain capital spending in response to the current environment. Additionally, with the formal approval of the merger of T-Mobile and Sprint on April 1, capital spending for these companies is expected to be lower in the short-term as they combine and rationalize their network assets. Recall that demand trends with telecom national customers can vary from quarter-to-quarter based on the timing of capital deployment and project planning cycles. Lastly, shipments of C&I stationary generators through our North American distributor channel were also lower in the quarter as this channel began to experience the impacts from a decline in project quoting as nonresidential construction activity continued to slow. However, the significant decline in quotations for new projects experienced in March and April during the onset of the pandemic has recovered somewhat in recent months, which has improved the overall outlook for this channel for the remainder of the year. Additionally, our C&I product outlook now includes the recent acquisition of Energy Systems, our industrial distributor located in Northern California. This acquisition enhances our ability to serve what we view as one of the largest power generation markets in the U.S. for both C&I and residential products. We want to welcome the approximately 50-person team of Energy Systems into the Generac family and look forward to expanding our presence in the rapid growing California market. As expected, the ongoing global pandemic had a significant impact on demand outside the U.S. and Canada during the second quarter. As COVID-19 moved from China in January to Europe in February and then on to Latin America, the first quarter demand environment was challenging and worsened considerably during the latter part of that period and into the second quarter. As GDP growth rates were sharply reduced around the world, revenues for our International segment in the second quarter declined approximately 25% on a core basis compared to the prior year. These declines were broad-based in almost every market that we serve and magnified the slower economic growth and geopolitical headwinds that were already being experienced in recent quarters. Despite this weakness, overall International revenue during the second quarter moderately exceeded our expectations. And our current full year outlook is also slightly more favorable for this business as certain regions such as Europe are trending better than previously feared. Recall that last quarter, we discussed the execution of between $25 million to $30 million of cost reduction initiatives that we were targeting across the business to address an expected slowdown in demand from the impact of the coronavirus pandemic. Given the magnitude of the downturn in demand for C&I products, where shipments declined 33% over the prior year, we initiated a number of meaningful restructuring actions for this part of our business during the second quarter to better align our cost structure with current global customer demand trends. Accordingly, as reported in our earnings release earlier this morning, the second quarter includes $11.5 million of pre-tax charges related to business optimization, noncash asset writedowns and other restructuring costs, with the vast majority related to C&I products. The specific restructuring efforts were mostly within our mobile and international operations and include work furloughs and headcount reductions as well as the recording of a number of noncash asset write downs. We believe these actions are necessary to address the longer-term negative impacts from the pandemic, and we estimate the cost reductions will yield approximately $10 million to $12 million of annualized cost savings once fully implemented by the end of the year. With the strength in our residential business, the original cost reduction actions are more muted as the $25 million to $30 million of initial savings are partially offset by incremental incentive compensation and headcount investments given our increased outlook. Although near-term market conditions are challenging for these businesses, we remain optimistic on the long-term opportunity for mobile products, which aligns with an expected fleet replacement cycle nearer-term and the compelling mega-trend of much needed infrastructure investments around the world. In addition, the secular growth opportunities remain intact for our international businesses, including the increasing penetration of home standby and natural gas generators for commercial and industrial applications, alongside the market share opportunities in supplying critical support equipment for wireless telecom sites and entering the emerging space for energy storage for both residential and C&I applications. In closing, we remain very excited about our future growth prospects, which are driven by several mega-trends and powerful macro secular drivers. And we will continue to aggressively invest in the strategic initiatives that align with Generac's Powering Our Future strategy. Demand for the company's residential generators continues to benefit from the trend of increasing power outages as a result of more severe weather, driven in part by global warming. And as we have discussed this morning, recent demand for these products are now clearly benefiting from the new and emerging Home as a Sanctuary trend with millions more working, learning, shopping, entertaining and spending much more time at home. In addition, we're confident that once we get through this pandemic, future growth prospects for our C&I products remain compelling, driven by: the increasing penetration of natural gas generators in a wide variety of applications, the major investment cycle needed for legacy infrastructure and wireless telecommunications shifting to 5G architecture. We are also extremely excited about the long-term growth opportunity for our clean energy products, including the potential to leverage and combine our new capabilities in energy storage, monitoring and management with our core competencies and strategies with natural gas generators. We believe this will better enable us to enter new and adjacent markets that align with the evolving mega-trend around the disruption of the traditional electrical utility model, including decentralization of the grid and a migration toward distributed energy resources. I'd now like to turn the call over to York to provide further details on our second quarter results. York?
York Ragen: Thanks, Aaron. Looking at our second quarter 2020 results in more detail. Net sales increased $546.8 million during the second quarter of 2020 as compared to $541.9 million in the prior year second quarter, resulting in core sales growth of approximately 1%. Looking at consolidated net sales for the second quarter by product class, residential product sales during the second quarter increased 27.2% to $341.4 million as compared to $268.4 million in the prior year. As Aaron already discussed in detail, home standby generator sales continue to experience very strong year-over-year growth, which was approximately 30%. Supplementing the home standby strength during the second quarter was a significant increase in shipments of portable generators, primarily as a result of the much higher power outage activity in the current year quarter and the overall needs for backup power since the onset of COVID-19 pandemic. The growth in residential product sales also benefited from the higher shipments of Chore products, along with the shipments of the recently launched PWRcell Energy Storage Systems. Commercial and industrial product net sales for the second quarter of 2020 declined 32.8% to $154.9 million as compared to $230.4 million in the prior year quarter, with a core sales decline of approximately 31% when excluding the unfavorable impact from foreign currency. The significant weakness in shipments of C&I products was broad-based, both domestically and internationally. The continued negative impact of the COVID-19 pandemic accelerated the deferral of capital spending with our national rental account customers. In addition, shipments to telecom national accounts declined sharply as T-Mobile took a pause in capital spending following their merger with Sprint, and shipments to industrial distributors also declined during the second quarter.  Internationally, C&I products declined 27% compared to the prior year on a core basis due to the continued broad-based sharp drop in global demand caused by the pandemic. Net sales for the other products and services category, primarily made up of aftermarket service parts, product accessories, extended warranty revenue amortization and other service offerings, increased 17.4% to $50.6 million as compared to $43.1 million in the second quarter of 2019. A larger installed base of our products, higher power outage activity and higher levels of extended warranty revenue drove this increase versus the prior year. As previously discussed, second quarter results include the impact of $11.5 million of pre-tax charges relating to the business optimization and other restructuring costs to address the impact of the COVID-19 pandemic and decline in oil prices. The cost actions taken include certain headcount reductions, noncash asset writedowns and other charges. The charges, which primarily relate to C&I products globally, consist of $6.3 million classified within cost of goods sold, and $5.2 million classified within operating expenses. Excluding the impact of these charges, gross profit margin improved 330 basis points to 39.4% compared to 36.1% in the prior year second quarter. And operating expenses increased $9.3 million or 8.9% as compared to the second quarter of 2019. Adjusted EBITDA, before deducting for noncontrolling interest, as defined in our earnings release, was $123.1 million or 22.5% of net sales as compared to $111.9 million or 20.6% of net sales in the prior year. This 190 basis point improvement in EBITDA margin was primarily driven by the impressive gross margin expansion during the quarter due to a favorable sales mix, partially offset by the increased investment in operating expenses and the early ramp of our clean energy products. I will now briefly discuss financial results for our two reporting segments. Domestic segment sales increased 9.3% to $460.8 million as compared to $421.5 million in the prior year quarter. Adjusted EBITDA for the segment during the quarter was $121.3 million or 26.3% of net sales as compared to $103.7 million in the prior year or 24.6% of net sales. International segment sales, which consist primarily of C&I products, declined 28.5% to $86.1 million as compared to $120.4 million in the prior year quarter. Core sales declined approximately 25% versus prior year when excluding the unfavorable impact of foreign currency. Adjusted EBITDA for the segment during the quarter before deducting for noncontrolling interest was $1.9 million or 2.2% of net sales as compared to $8.2 million or 6.8% of net sales in the prior year. Now switching back to our financial performance for the second quarter of 2020 on a consolidated basis. As disclosed in our earnings release, GAAP net income attributable to the company in the quarter was $66.1 million as compared to $62 million for the second quarter of 2019. GAAP income taxes during the current year second quarter were $18.5 million or an effective tax rate of 22.5% as compared to $18.8 million or an effective tax rate of 23.4%. The decline in tax rate was driven by a higher share-based compensation deductions and favorable geographical mix of earnings in the current year quarter. Diluted net income per share for the company on a GAAP basis was $1.02 in the second quarter of 2020 compared to $0.98 in the prior year. The specific calculations for these earnings per share amounts are included in the reconciliation schedules of our earnings release. Adjusted net income for the company, as defined in our earnings release, was $88.5 million in the current year quarter or $1.40 per share versus $74.9 million in the prior year or $1.20 per share. Cash income taxes for the second quarter of 2020 were $13.9 million as compared to $14.1 million in the prior year quarter. The current year now reflects an expected cash income tax rate of approximately 17% for the full year 2020, which is consistent with the prior year expectation at that time. Cash flow from operations was $101.8 million as compared to $8 million in the prior year second quarter, and free cash flow, as defined in our earnings release, was a positive $89 million as compared to a negative $9.8 million in the same quarter last year. The increase was primarily due to a significant working capital investment that was made in the prior year, which did not repeat in the current year, along with modestly higher net income and lower capital expenditures during the current year quarter versus the prior year. Before discussing our updated outlook for 2020, it's important to reiterate our healthy balance sheet and liquidity position at the end of the second quarter of 2020, which allows us to confidently operate our business and execute our strategy even in this uncertain world. As of June 30, 2020, we had $689 million of liquidity, comprised of $397 million of cash on hand and $292 million of availability on our ABL revolving credit facility, which matures in June of 2023. Also, total debt outstanding at the end of the second quarter was $896 million, net of unamortized original issued discount and deferred financing costs. Our gross debt leverage ratio at the end of the second quarter was only 1.9 times on an as-reported basis. Recall that in December 2019, we amended our term loan credit agreement which, among other things, extended the maturity of the term loan to December 2026, and we do not have any required principal payments on this facility until the maturity date. Also recall that there are no financial covenants on the term loan, and it has a low-cost of debt of LIBOR plus 175 basis points. In addition, earlier this year, we entered into some additional interest rate swap arrangements that hedge or fix our interest rate exposure on approximately $500 million of this debt through the maturity date of December 2026. Further enhancing our overall liquidity is our strong cash flow profile. And over the last 12 months ended June 30, 2020, cash flow from operations and free cash flow were impressive at approximately $400 million and $350 million, respectively. Lastly, given our strong balance sheet and free cash flow generation, we have significant resources to drive further shareholder value as we execute on our long-term strategic priorities, and our approach toward capital deployment remains disciplined, balanced and consistent. With that, I will now provide comments on our updated outlook for 2020. While we still expect the impact of COVID-19 pandemic on global C&I products to be severe, demand for our residential products has been extremely strong and overall better than expected, benefiting from the emerging Home as a Sanctuary trend and a continuation of other fundamental drivers, which drove significant revenue outperformance during the second quarter and is driving a much higher outlook for the second half of the year. Furthermore, our residential products have historically proven to be more resilient and tend to decouple from the broader economic environment as demand is more driven by power outages and power outage severity has continued to be favorable during 2020 relative to historical baseline levels. As a result of the incremental residential strength being experienced, we are raising our guidance for revenue growth for full year 2020 as we now expect overall net sales growth of approximately 5% to 8% versus the prior year, which compares to the previous guidance of 5% to 10% decline. At the midpoint, that is 14% additional revenue growth outlook between guidance statements. These growth rates assume normal baseline power outage activity for the remainder of the year as well as the benefit of one significant power shutoff event in California and a recovery of the solar market during the second half of the year. Net sales for residential products are now expected to see significant year-over-year growth for the full year 2020 as compared to the previous expectation of mid-single-digit growth. And C&I products are still expected to be down significantly versus prior year but slightly better than previously expected based on our prior guidance. As a result of improved operating leverage and favorable sales mix compared to previous guidance, we are also raising our margin expectations for full year 2020. Adjusted EBITDA margin is now expected to be approximately 21.5% to 22%, which is an increase from the 19% to 20% previously expected. This updated baseline guidance implies that adjusted EBITDA margins in the second half of the year will improve by approximately 300 basis points as compared to the first half of the year, which is largely due to improved operating leverage on higher sales volumes and favorable sales mix. Our baseline guidance anticipates that net sales and adjusted EBITDA margins will improve sequentially between the third and fourth quarters as we ramp up home standby production throughout the second half of the year. Specifically, net sales in the fourth quarter are expected to be appreciably higher on a sequential basis over the third quarter, even higher than normal baseline seasonality due to higher levels of home standby production during the fourth quarter with a further margin benefit from the improved operating leverage on the higher sales volumes. Should the outage environment in the second half of 2020 be higher than our baseline guidance due to an active hurricane season and widespread utility shut offs in California, approximately 2% to 3% of additional revenue growth is possible beyond this baseline guidance. This upside potential is now expected to consist of heavier mix of portables as production for home standby generators is currently ramping up to meet existing demand. Operating and free cash flow generation for the full year 2020 is expected to remain strong, with the conversion of adjusted net income to free cash flow now anticipated to be approximately 90%, reflecting additional working capital investment required to ramp up our operations in response to higher demand. Lastly, interest expense is now expected to be approximately $33 million to $34 million for the year, a $3 million decrease from previous expectation, primarily as a result of lower market interest rates. The remaining guidance items provided in the previous earnings calls are not expected to change. This concludes our prepared remarks. At this time, we'd like to open up the call for questions.
Operator: [Operator Instructions] And your first question is from Brian Drab with William Blair. Please go ahead.
Brian Drab: Hi. Good Morning. Thanks for taking my questions. You mentioned, obviously, that consultations are way up in 2Q. And did you quantify that? Or can you quantify that? What do you see for total consultations in the second quarter year-over-year? And specifically, in California. I know last time you said they're up 10 times. Is it still kind of 10 times for the quarter?
Aaron Jagdfeld: Yes. It's up big, Brian. I mean, we haven't quoted specifically what they're up. But I think, stick to the prepared remarks here that they're up double again here in July, kind of third quarter. So it's a continuation of that theme, right? So we were up double in April, up double here in July. You can kind of back into probably what's in the middle there. But California is up big, continues to again off of a fairly low base. And we'll start coming up against some more difficult comps there in the back half. So you're not going to get the 10 times types of numbers we had quoted back in April. California is a big part of the increase. But I think I'd just point out, one comment we made this morning and probably the thing that floors me, and I've been around this business a long time. Every single state in the contiguous U.S. saw really strong growth in IHCs or home consultations during the quarter, which is amazing to me. I mean, I just the widespread nature of this, it's like kind of like a major event in every corner of the U.S.
Brian Drab: So Aaron, you said I think that home standby was up about 30% in the second quarter, and you raised the guidance by about $300 million at the midpoint. I know you said C&I is going to be a little bit better than you previously expected. But is it fair to say kind of embedded in the guidance, is it like close to 30% growth in home standby now for 2020?
York Ragen: Yes. It's going to be it's maybe not that rich, but it's going to be in that ballpark. And if you look at that $300 million increase that you mentioned in increased guidance. Roughly, maybe 2/3 of that is going to be home standby. So really strong growth at all it also points to what Aaron just mentioned that it's very broad-based. It's not just California. It's not just Florida. It's every state, there's high level of interest. And we're seeing the IHCs as well as then the lagging indicator of activations strong on a broad-based basis, which gave us confidence to with the raise in the guide.
Brian Drab: And then just a last question for me, if I could. I'm curious, given that you're seeing growth in every state in the U.S. It's unprecedented. There's this Home as a Sanctuary trend. Are you seeing increased demand for your home standby products in the international markets now? I know that's an area where longer term, you're hoping to penetrate further.
Aaron Jagdfeld: Yes. I mean, we have we've been seeing growth pretty consistently in home standby internationally. It's off of a very small base, obviously. But I think the bigger challenge around the international markets that we've as we've kind of built that out is the certifications and compliance are different from country to country. And frankly, even within countries, it can be a bit confusing and because the category is new in a lot of places. I'll just point to one example. I mean, Australia, which we've kind of coveted as a growing home standby market over the years. Just the relative difficulty in trying to get our products certified to all of the standards that Australia keeps throwing at the category. So we're finally there, and we've been pushing those products into the country there, and they've been all received. But again, it's going to take a while to grow, but longer term, there's, as you mentioned, Brian, we believe that internationally, there is there won't be any market that looks like the U.S., we don't think, but there are definite pockets of demand geographically that we'll be able to participate in.
Operator: And your next question is from Mike Halloran with Baird. Please go ahead.
Mike Halloran: Hey, good morning everyone. So maybe you could talk a little bit about lead times on the home standby side, what the conversion looks like? I know the conversion from in-home consultations to somebody booking something is good. But what does that look like then from conversion of order into actual installation or delivery? And then maybe just a little more context around why the sharp ramp from 3Q to 4Q above normal seasonality? Is that just related to lead times or some other sort of indicators there?
Aaron Jagdfeld: Yes, Mike, I'll take the first part of that question, and I'll leave the second part to York. But so on the first part, just in terms of backlog and demand and just kind of what things look like. Obviously, the robust demand there's seasonality normally in home standby, but normally, it happens kind of like around now. And kind of going into August, we'd start to see it pick up kind of latter half of third quarter going to the fourth quarter. That's been the normal seasonality in the category for 20 years. This year, it's just started three months earlier, four months earlier. Really as the pandemic took hold, and so we began ramping right away. We keep safety stock levels ahead of events because events can happen throughout the year. You can get an ice storm in the wintertime. You can get other events that are not in the normal seasonal cadence. So we do keep safety stock levels. And we obviously have finished good levels in our warehouses. And then we have a fairly robust field inventory as well of home standby that we talk about from time to time. All of those things are really low right now. Field inventory levels in terms of days of activated products are extremely low. Our field or our, excuse me, finished-good levels are very low. We would be, I think, in a backlog today. If you were to put a new order in, it's going to be a couple of weeks before you're going to get your hands on a machine. The normal sales cycle takes time though. So normally, there's a permitting process. So what would have normally happened previously and this repeats itself every time we go through these types of demand surges, is a dealer normally wouldn't or a channel partner wouldn't normally order a product from us until they have a permit in hand because there's just a certainty to it. They don't need to outlay any working capital then for the machine and they can install it as soon as it's delivered. All it does is it shifts the time when they order to ahead of when they get the permit. So from a customer perspective, they may not have to wait any longer. So the order cycle just might be happening a little sooner. So we're watching that to understand the overall impact. I think what's going to happen, though, is as we move into what is the traditional season, is that's probably going to get even more elevated or elongated in terms of the lead times. And so we expect that. We are working very diligently to increase production levels. In fact, we're the first time ever in our history, we're going to have a secondary site where we produce home standby generators as we enter the fourth quarter here. So we'll have two physical sites where we're producing the product. It's been largely the domain of our Whitewater, Wisconsin facility, but we're going to move production and expand production to a second facility. And we're going to levels we've never experienced before. I mean, these are really elevated levels of production, which is great. We made some key investments in automation about 1.5 years ago that look really, really smart now. We thought it was going to help us kind of for the next three to five years. It might help us for the next three to five months. And we're going to have to continue to invest beyond that. But we feel we're in decent a decent position. We've been here before. We know how to manage this. And our teams are pretty savvy at it. And it's fun. When it's going like this, it's fun. We're trying to hire 400 people right now. That's a challenge, but we'll get through that as well. But it's a the lead times are going to get longer. And then I think on the ramp, sequential ramp?
York Ragen: Yes, the seasonality just plays into what Aaron is talking about, ramping up that production and spinning up that second location. That will start really in the fourth quarter. So we'll just have we'll be producing more product home standby generator product in the fourth quarter versus the third quarter. That will sequentially drive more shipments. And then on the clean energy side, we'll be shipping as that builds up, we'll be shipping more clean energy as well. So that's the main reasons for the ramp, higher fourth quarter versus maybe normal seasonally.
Mike Halloran: That makes sense. And then just some thoughts on the distribution side for the clean energy piece, the battery piece. Maybe just more context to how you think that's progressing, competitive position for the wins you're seeing in the marketplace versus the broader marketplace? And any context around that?
Aaron Jagdfeld: Yes. I mean, we've had the products have been, I mean, incredibly well received. And we're sending leads, a lot of leads into the market, which one of the best ways that we've learned from our home standby experience is to create really good engagement and alignment with channel partners, is giving them sales leads, giving them an opportunity to win in the marketplace. So that's been incredibly well received. And I think that's been the, for us anyway, a great way to get the conversation started. It's the icebreaker, right? We talked about it on the prepared remarks, Mike, the pacing of solar installs really took a hit in Q2. It's just the pullback in a lot of the in fact, you go out to California and some other parts of the East Coast where solar installs are pretty popular, they actually deemed those kinds of activities nonessential. So it was largely shut down, like a hard shutdown, like people weren't even answering their phones. And for us, because we're the new kid on the block, this is largely a ground game, right? So in the early days here, we've got to engage people face-to-face. We've got to show them the product. They've got to touch and feel it, see our selling system, our PowerPlay CE selling system. There's just nothing there's really no substitute for face-to-face, that transfer of emotion of selling. And so you can try to do a lot of things with a video conferencing call, and we've done a lot of that. And we shifted to it virtually where we can with training and everything else. But we still need that ground game. And so we're encouraged by the fact that it's starting to get back on track here, but we just, we lost some momentum in the second quarter, unfortunately. And we really had a head of steam coming out of Q1. I felt like we really were the kind of world was our oyster with this thing and then the pandemic hit. But we're encouraged by what we're seeing early days. Our Sunnova partnership, we called this out on prepared remarks, that's been really encouraging. It's a great group of people in the industry that are incredibly knowledgeable about the industry. We're learning a lot from them. And I've been in close contact with their CEO and the rest of their team. And we're continuing to expand our partnerships and build on kind of the early wins we've had here. But we're really bullish on clean energy for the long term. This is really a long term play. And it's really starting to show us a much clearer path around the changes that are coming, the macro changes that are coming in the grid, the decentralization. And we've got a line of sight on some pretty cool stuff here, both in our product pipeline as well as just some thoughts strategically around where we can go with this in the future as we continue to diversify the company here, into more of an energy technology, energy solutions type of play.
Operator: And your next question is from Christopher Glynn with Oppenheimer. Please go ahead.
Christopher Glynn: Thanks. Good morning. And congrats on all the success here. I wanted to extend on the last point about really, I think alluding to potential for new business models around the decentralization of the grid. I'm wondering where you are in terms of that being a theory versus being tangible ideas. And ESS is obviously a tangible idea that's manifesting right now. But just curious if there are other specific things that you're working toward along the lines of the way you introduced DSS into the portfolio?
Aaron Jagdfeld: Yes, it's a great question, Chris. And it seems like every day, there almost isn't a day that goes by where our learnings are creating critical insights into some opportunities around exactly, as you mentioned, new business models and new opportunities for Generac and for as we think in particular about look, our business. We're a legacy kind of power equipment company, right? That's where our 60-year history has been centered, internal combustion engine technology, which is a great technology, don't get me wrong, and it's had its own amazing advances. But I think you can probably make the argument that there's a sunset on some of that technology. And so our move into energy storage, our move into electrification, battery technologies, the software platforms and the amazing I mean, this stuff is high functioning stuff, the artificial intelligence and the algorithms and everything else that goes into this. We've been introduced to that in a big way through our acquisitions here and frankly, through the pipeline, our M&A pipeline that Mike and team continue to work on here. We see an incredible future. And I think we're in a super enviable position that in this industry, and I'm talking more broadly in the clean energy industry, we've got a balance sheet that gives us every right to go after some of this stuff in a very meaningful way. And I think there's some really cool things that we could do in the future here. Timing around things, again, we won't speak to specifics on that. But I'll call out one thing we announced in the quarter here. This partnership with Virtual Peaker, which I think is kind of a glimpse into some of the future, virtual power plants and where we can go, where the industry is going with distributed energy resources, DERs, and distributed energy resource management DERMS. They're software platforms but you aggregate these blocks of load. And so in the clean energy space, most people have been considering these blocks of load to be storage items or wind power or other clean sources. We look at natural gas generators, which in their own right, are quite clean. We look at those as tremendous DER potential. And as the number one producer of backup gas generators in the world, we're extremely excited about the potential marrying of the technology here, the combination of all of this into something that just kind of penciling out could be incredibly meaningful. I mean, the electric utility industry, just in the U.S. is a $4 trillion annual business. And that's going to change through decentralization and through the mega trends that we've talked about around the Grid 2.0, if you will. And as we think about that, and as we could think about Generac and our brand and our capabilities and our competencies, we think that, boy, that's a space for us. And that's a place that we can play. And that's a place where we can really, I think, have an impact. So that's kind of how we're thinking about it.
Operator: Our next question is from Philip Shen with ROTH Capital Partners.
Philip Shen: Hey guys, thanks for the question. Congrats on the quarter and the outlook. And as a follow-up on that last question, just a little bit of a kind of nitpicky. Well, not nitpicky, but just a detailed question. Have you guys started changing contracts or updating contracts with your customers to give you more flexibility in new revenue generation sources? And if not, when do you expect to maybe start to do that? Or perhaps you're doing that with the new contracts, but haven't gone back to the old contracts to give you guys the ability to maybe turn engines on to meet capacity needs from the grid, for example?
Aaron Jagdfeld: Yes. On a go-forward basis, that's certainly the case, Phil. We look at as we think about these blocks of power, right? Just think of a generator as a block of power being able to be used in a fashion by the customer, by the utility, by an aggregate or third party, maybe by the company at some point in the future. New contracts and new the language expressed around how these products are being positioned in the market. And there's some nuances there that are both technical in nature and then contractual in nature. Technical from a product standpoint in that if you're going to run a product like a natural gas generator outside of an emergency, so for non-emergency purposes, there's actually some different levels of permitting requirements around the tail pipe emissions and some things there. So that certainly, in terms of it's not necessarily a change in a contract as much as it is a change in the certification of the product. And so new products are being certified to a nonemergency standard in a lot of cases. And we're having that type of dialogue with customers so they understand that those products can be deployed in that manner. And there's still certain limitations on that in terms of the hours and the warranties that go with those products. So all of that is rapidly developing on a go-backward basis, so on a look back basis. It's a different conversation depending on each customer and how they've configured their systems historically. I think, at least as we think about it today, this is definitely a future-looking discussion, but I think that we do need to figure out what the path looks like going backward. And we also need to figure out, quite frankly, just what do the economics look like, right? What does the business model look like? Who participates in what level and to what degree. And there's going to obviously, there's potential savings, not only for the end customer, but for kind of every person in the value chain. So we're kind of penciling that out. And we're talking. As I said, there's a lot of people in this industry who have looked at this over the years, who have done it to some degree, actually, even with generators. There's a couple of companies out there that have done it. So as we talk to different people and we learn more about this. And again, the guys at Sunnova have been really helpful and that's because some of the leadership on that team has been involved in this for a long time. We're all starting to kind of center in on a couple of different business models that could work. And it's going to be really interesting to see how this plays out over the next 12 to 24 months. But I think we'll be able to give you more kind of clarity around that as it develops.
Philip Shen: Great. Very exciting. Shifting gears to your 24 kilowatt engine. I was wondering if you could give a little more detail on the timing of when that could be available at scale? And I'm guessing because it's a higher powered engine instead of selling the 22, you might be selling more of the 24. So and I'm imagining there's a better margin profile that's associated with the 24-kilowatt. And so with that better margin profile, just curious on how you might use that margin. Do you think you would use that to go from 80% market share to even more, with one of your peers declaring bankruptcy? Or do you think we should just look for just margin support and expansion even for home standby going forward?
Aaron Jagdfeld: Yes. No, it's a great question, Phil. And I'm super excited about the 24 kilowatt. It's a beast of a machine. It is a cool it's our largest air cooled generator. It's built on the same platform as the 22, but we have a new alternator that we've put into the family, which is the business end of the machine. The engine is actually roughly the same. We were actually limited. We were alternator-limited in terms of output on the previous platform. So the engine had some more room in it. That engine makes just tremendous power in a compact footprint. But the alternator, the frame size of the alternator was we were kind of limited to what we had to work with, which and again, not to get too technical, but the size frame was just too small to get us above 22. So we invested heavily in a brand-new engine platform over the last three years, and that's in machine tooling as well. When you spool up a new alternator, it's not just the design engineering investment. It's the machine tool because we have to make this at scale. And you're exactly right. We would anticipate there's going to be a portion of the market we've kind of modeled it two ways. One, there's going to be a portion of the market that migrates from 22 KW on the air-cooled side to 24. And then there'll be we also believe there'll be a portion of the market that currently today is buying some of our smaller and liquid-cooled products. So in particular, homes in Florida and Texas, where we've just seen tremendous demand for better power, you have a lot of air conditioning loads. And whenever you have a lot of air conditioning loads, you have a need for a high starting motor starting capabilities, which leads to higher kilowatt machines. That typically means that moves you from an air-cooled platform to a liquid-cooled platform, which is a sizable bump in terms of price point. So and as a result, it generally makes that a smaller market because affordability just is not as great on that end of the market. So we think there's a cool opportunity here to take that and to go after it both ways. In terms of availability, it's available Monday. We start making them Monday. We've been maybe holding this one in our hip pocket a little bit. And we've been working on it for a while. Competitively, we think that while we've got great market share, there's an opportunity to go and our mission here has been to grow the market. And alongside that, we've just been able to continue to grow our share of the market. But when you're the leader in the market and you take all the innovation and things that we do and you continue to push on that, I think it just it continues to fall into kind of our lap in terms of share. And so you're right that we've got some competitors who are maybe struggling a little bit more on some other fronts. And we think there's probably an opportunity there to go after not only distribution, but just again, just broader share with the increased product offering.
Operator: And your next question is from Mark Strouse with JPMorgan.
Mark Strouse: Good morning. Thank you very much for taking our questions. Of your 6,700 dealers, can you just talk about the percentage that are opting to sell the clean energy solution? How has that trended over the last couple of quarters? And can you talk about the geographies? Is that really just California and Hawaii at this point? Or are you kind of seeing it across the country?
Aaron Jagdfeld: Yes. It's Mark, it's actually really broad-based. And again, I think it follows the overall trends that we're seeing in terms of the interest level in the category. So the growth has been broad-based. Obviously, as we called out, California has represented about 250 of the 650 new dealers that we've added over the last 12 months to get to that 6,700. So California does have an outsized position. But of the 400 other dealers, it's pretty well diversified. To answer the other part of your question about the number of dealers that are also offering clean energy products, it's still relatively small. That part of the thesis has played out a little slower than we would have liked it to. And I think it's just there's a couple of reasons why, but our traditional legacy customer for home standby in that dealer is an electrician, it's an electrical contractor. And frankly, they've just been a little bit slower to move on the shift to more clean energy technology products. Where we have had a lot of really great success is signing new partners for our clean energy initiatives, so solar dealers on a direct basis. The exciting thing is that almost every single solar channel partner that we sign is actually really interested in adding home standby generators to their product line, because their customers are asking for a system that can be resilient over time. And the challenge with storage still to this point is economically, it's just not a viable option in a multiday type of outage. And so you really need to augment that system with a generator. And so these guys are super excited. I think it gives us a unique competitive advantage in that we can offer basically a home energy system. It doesn't matter if you're talking about a gas generator or a storage system or an energy monitoring system. It really is a we were kind of thinking about we're trying to think about our dealers going forward as home energy consultants, right? We wanted to think more broadly than just backup power or just solar. We want to think about, again, this feeds really right back into that distributed generation play and that decentralized grid that we're talking about in the future. We think that the way that's going to get served is through a channel of home energy consultants. And that's going to look different than it looks today. But we're I think we're headed down the right path. It's just going to probably take some time to materialize.
Mark Strouse: Okay. That's helpful. And then just as a follow-up, kind of a high-level question on margins. Going back to your Analyst Day from about a year ago, you kind of put out a 21% target for EBITDA in 2022. You're trending above that this year. I understand there's a mix issue this year. But just given the strength in home standby and the restructuring for the C&I business, do you think that 21% is kind of the still the right bogey to be targeting? Or do you think there could be potential upside there?
York Ragen: Yes, this is York. I think, obviously, when the C&I business does come back on the back end of the next cycle, that will have an impact on margins. I think the outsized impact on margins today is because of that heavy home standby mix and the declines on the C&I side and the international side. So I think the 21% still feels right once the cycle returns. But we will be updating that, obviously, periodically as we run our long-range planning models and have a view toward what do margins look like three years from now on an updated basis. But I think once the cycle returns, that 21% still feels about right.
Operator: And your next question is from Ross Gilardi with Bank of America.
Ross Gilardi: Good Morning, guys. I just had a couple of questions. Just on your clean energy guide, clearly, you've got huge opportunity longer term, which you focused on. But given what happened in the second quarter, I mean, how long of a putt do you feel like it is to reach the low end of your guide? You have about 125 to 150, do you feel like you have visibility on that? Or do you have to make like a lot of progress in the next two quarters just on order intake?
Aaron Jagdfeld: Yes. So we've actually got a we don't talk about backlog much in our businesses, but we actually have a really strong backlog position in that business. So we've already taken a lot of orders in. What we saw there was a shift in shipments from Q2 out. So largely what the guide contemplates for us is that we're just some of that stuff is pushing into the back half. Now numerically, you can look at it and I'm as much of a skeptic as anybody. And with our own teams here on back-end loaded forecast, I would much prefer to see a more steady ramp but this is the way it's playing out. And as I look, I'm one of these people, I got to see it for myself. So I've been listening in on our clean energy business sales pipeline calls because I just want to hear. I just I have to hear the tone in the voices. And I got to I even pipe in and ask a couple questions. But I'm really encouraged by what I'm hearing because the team is look, like I said before, it's a ground game. We've got to get out there in front of customers. That's starting to open up again. Could things back up if you get a second wave? Maybe. But I think because of that backlog and because the solar installs are happening and we track registrations every day. I was really encouraged. We saw registrations on Sunday this past week, coming out of our registration reports Monday morning, which is great. We haven't seen Sunday registrations yet. So that tells me that the installed base is actually working over the weekend to get caught up. So that I think that's a sign that's encouraging, just little things like that. We're putting it all together. But make no bones about it. It's still a steep ramp. The team is hanging in there. We are coming in at the lower end of that original guidance at 125-megawatt hours as opposed to the 150. But I think the sales pipeline that we have visibility to, the backlog we have visibility to, I think it's very doable.
York Ragen: And the trends on
Aaron Jagdfeld: And the trends.
York Ragen: On leads and
Aaron Jagdfeld: The trends on leads and activations are, that's very supportive.
Ross Gilardi: And then I got a two-pronged follow-up. I mean, are you losing any leads because in the process of customers shopping, they are actually realizing that a home standby generator is what they actually want? Which is that would be a high class problem, but you guys have said all along that you want to buy a generator as a backup power solution. And buying an energy storage system is really more of an ROI and cost savings type of investment. So do you think the consumer's actually tapping into that? Is that part of the reason why your home standby business is so strong? And then I'm just curious on competition on the clean energy side, what you're seeing from the incumbents. It seems like there's a lot of new products out there. Are you seeing any copy cats on your turnkey approach that's really focused on lightweight, ease of use in kind of your direct marketing approach?
Aaron Jagdfeld: Yes. Those are great questions, Ross. I mean, the market there, it is interesting. So we're doing these infomercials, right? We're playing clean energy infomercials. And we have people calling asking for a home standby because they see the brand. And the brand has become so strong and synonymous with a backup generator that it just the impressions that we're getting with the brand are just leading people to ask about standby. That's a percentage of the calls we get. The people who are calling though about clean energy are pretty fixated on a storage solution. If they have if they understand what we're telling them in those infomercials, they get that it's a different type of product. That's what they want. And in some cases, I would say it's more of maybe somebody who might have been looking at one of the competitive solution sets out there for energy storage that then sees our infomercial. And that's what kind of spurs into action and to call us. Clearly, though, and I've listened to calls, as we listen to our call centers, and we're actually bringing that call centers in-house for clean energy here. That starts next month in August, in a couple days here because we just, what we're finding is it's a very technical sale. It's just a complex sale. So we've tried to use outside call centers. Our conversion rates are too low relative to what we think we should be seeing. So we're going to bring that in-house, and we're ramping up a team of people internally here to take those calls. So we're going to have an opportunity to refine our messaging a lot quicker. But in the calls I have been listening to and that the team has been listening to, yes, there are people who sometimes come to the conclusion that what they really just want is backup power. And maybe the clean part of that, which is for a lot of people, they're thinking about saving money on their energy bills, that maybe that's a lesser goal for them than simply having a constant source of power in the event of a longer-term outage. So while there are these are concentric circles and there's some overlap in the two markets, we still see them as two separate markets. But it's we have definitely had people to tip over into it. And again, like you said, it's not a bad result. I mean, in the end, we sell them a home standby. It's not a bad result. So.
York Ragen: I think there are cases where they want a quote for both, and then they make a decision. And that's why I think the solar guys want to be dealers of home generators as well.
Aaron Jagdfeld: Exactly, yes. And then the competitive response, Ross, just to hit the second part of the question and move on here. But I think right now, everybody in the industry has kind of got their own path, right? So we're still the new kids on the block. I'm not sure everybody is convinced our path or our approach is going to be the one that everybody picks. But one thing we have centered on, and I said it in our prepared remarks. But a lot of the initial engagement with not only channel partners but also homeowners and others, they're looking for a whole home solution. And our system is beautifully situated for that type of application. We've got the largest inverter, so you can put the most power across the inverter, which means you can power a lot more things in your home with our system than you can maybe a competing system. And the modularity in our ESS allows for people to step up and add additional modules to cover more things in their home. And then some of the things we've got in our pipeline going forward around load control and the integration in the much more tightly integrated backup generator pieces are really going to lend itself beautifully to kind of a whole home energy system that's got kind of long-term resiliency alongside giving somebody the capability to reduce their energy costs. So I think the way we're positioning ourselves, we believe is the right place to position ourselves. And frankly, is somewhat unique, uniquely available to us based on kind of the competencies and capabilities we have. I know that even if others wanted to do it that they could do it either easily or do it at all, maybe for that matter.
York Ragen: And the lead gen, no one is necessarily being a copycat on our lead gens.
Aaron Jagdfeld: Not at this point. There's people who have talked about doing some lead gen, but nobody is out there putting infomercials on TV and spending millions like we are.
Operator: And your next question is from Jerry Revich with Goldman Sachs.
Jerry Revich: Yes. Hi. Good morning, everyone, and congratulations. I'm wondering if you could talk about with your standby business, we have a point of light, if you will, with the distributors. Can we have a similar conversation across your channels for the battery storage business? How many folks are active PowerPlay users or however you want to frame it as we look at how much success you're having in the field with the installers.
Aaron Jagdfeld: Yes. So Jerry, we probably start need to start talking about that a little bit more, more pointedly. So thank you for bringing that up. It's about 500 so far is what we've got in terms of dealer base pulled together for our clean energy business directly. Again, there's a little bit of overlap between the two channels, but not a ton at this point. I think the introduction of the PowerPlay CE tool, I would say, we have a lower penetration of PowerPlay CE usage at this point with that dealer base than we do with our traditional legacy dealer, the 6,700 dealers selling home standby. We have a higher percentage of those dealers using PowerPlay than we do in the PowerPlay CE clean world at this point. That's really just a rollout and training thing. It's just going to take time to ramp them. They're brand new to it. We're brand new to it. We have been doing some refining of the PowerPlay CE product. We've got some really good feedback from the dealer partners on the usage of that early on. We want to make it a platform that they can use for their business. We're kind of in terms of where we're targeting, for total dealers for the full year here, we're kind of looking at about we think probably about 1,200 dealers is where we would like to be.
York Ragen: Using PowerPlay.
Aaron Jagdfeld: Using PowerPlay CE.
York Ragen: And I know we've trained over 3,000 solar installers to at least install and sell our products, of which we want to have about 1,200 using the CE systems.
Aaron Jagdfeld: It's a work in process, though. But look, if we know anything about what we've done with home standby, it's point of light matter. That is a strategy that works. The omnichannel approach works. And we're going to use that same approach in this clean energy market because you've got to have representation everywhere. And so we think that this is again, it's a ground game. I keep saying that, but it absolutely is, and we've built that ground game over a 20-year period with home standby and been very successful with that. And we believe that the playbook is relatively similar for clean energy.
Jerry Revich: And Aaron, you mentioned that the outside call center conversion rates were lower than you experienced in home standby lower than you expected. Can you just expand on that point? Are you not getting the conversion from the call-in into a qualified lead? Or is it a situation where once the installer is on-site the installer can't close the sale?
Aaron Jagdfeld: It's the conversion to a qualified lead. So we get an inbound call, and there's a percentage of those calls that drop out immediately based on qualification. But then the so there's a conversion factor. And when we look at historically how home standby kind of over the seven or eight years we've been doing that, how that kind of conversion rate has matured. And we look at where we're at, even early days with clean energy, we just feel like we should better. And as we dig in and start listening on the calls, what we're finding is it's just a very technical sale, a very complex sale. So a lot of pieces there. There's a lot to explain to a homeowner. And we believe that we're just going to need a higher grade of salesperson effectively, who's got some really good system knowledge, some really good knowledge of kind of how things not only work technically, but just to help the homeowner better understand what this product does and what they should expect from it. So we're bringing that in-house. And again, those conversion rates have been pretty low out of the gate. Which we didn't it wasn't completely unexpected. We normally would see kind of as we onboard certain new dealers, you have the conflux of new dealer coming on board, plus a complex sale. We're new to the market in terms of our brand translating to it. So we kind of expected low conversions. We just, we're impatient people here. I'll be very honest. I mean, it's just, we just don't have a lot of patience for stuff. So we try to instill a sense of urgency. And if something is not working, why sit there and wait for it to work? Let's do something about it. So we're moving that call center in-house. And I think we're going to have better success with that.
Operator: Our next question is from Jed Dorsheimer with Canaccord Genuity.
Jed Dorsheimer: Hi. Thanks. A lot of my questions have been answered, but I do have a question on the resi side of things. Was there a particular model or SKU or size that jumped out as in terms of highest seller? Or was it pretty even across that distribution? And then I do have a question on the clean energy side, too.
Aaron Jagdfeld: Yes, Jed, from that standpoint, the 22-kilowatt has been our workhorse in the fleet. But everything has been strong, frankly, every single part of the product line. I would say probably indexing a little bit more on the higher end of the product line simply because of the strength in the Southeast that we called out specifically. Again, higher air conditioning loads, the South and the Southeast have been very good markets for us. And as such, because they have greater power need that tends to I would say probably it's maybe skewing a little bit more toward that whole home solution in the higher KW air-cooled and lower KW liquid-cooled products.
Jed Dorsheimer: Got it. And then on clean energy, two questions. So the first is you have a pretty clear conflict mineral policy. And so I'm just wondering how you're thinking about the sourcing of minerals around the battery pack? And then second, as you look at where things are going with a whole home solution, for example, in the combination of the pack as well the battery backup with say a 22-kilowatt generator. What are you thinking about in terms of control system to monitor loads and automatically switch back and forth? I didn't see that as being available, but maybe I'm wrong there.
Aaron Jagdfeld: Yes. No, great questions. So first on the conflict minerals, yes, we're working with our partners on supply chain to make sure that they're fully compliant. So I don't have all the nuances of that, but I know the team has got that front and center. We made sure that as we qualify new companies, that's a really important thing that we have to make sure we're compliant with and that our partners are compliant with. And that, by the way, is no small task, as I think everybody in basically any industry can probably attest to, maybe even more so in the clean energy industry, given some of the minerals that go into these products. On the product side of things, your question there with kind of an integrated, fully integrated system, the platform. You're right, today, load management so we have home energy management. So our HEM system, which, by the way, I should say, that's going to ship bundled in with every 24-kilowatt generator. That will be the first product, the first legacy product where we're packaging HEMs in as a standard feature, which is pretty cool. So I think we have somebody asked the question previously about the differentiation there. And we're actually going to package HEMs with every one of those machines, which is I'm super excited about that because it just gives us a ton of data. I mean the data that comes at us from HEMs is so rich and so exciting. But from load control, you're right, today, not in the product available set, will be tomorrow. We have in our road map some really cool stuff coming on load control. And alongside of the actual physical elements of load control, right? So the capability to actually control each circuit individually or you could go even further with that strategy down to an actual appliance-level strategy in terms of control. But it's also the software that goes with that, right? The brains behind the system, right? So that we can really create a smart load control system, not just one that there's some systems out there in the marketplace that frankly don't have the intelligence we believe that are going to be required going forward. So we want to make sure that our system isn't just a hardware-based approach, but also an integrated hardware-software based approach that works seamlessly with our storage system and our home energy management system. So kind of we want to make it a one-stop kind of turnkey solution and we're getting close to that from a launch point.
York Ragen: I mean, as a generator manufacturer, we're experts in power electronics and load control. And then you couple that with the Neurio Technology guys in Vancouver, who that's what they do.
Aaron Jagdfeld: And it's been incredibly helpful. I mean, our teams here, we're used to working with codes and standards around electrical connections. And so our guys have been we've been working very, very well together with the teams from Neurio and Pika to develop these solution sets.
Operator: And your final question comes from William Grippin with UBS.
William Grippin: Great. Just a couple of quick ones for me. The clean energy supply chain ramp in Vietnam, just wondering how that's progressing? And are you still expecting margin to be in line with the corporate average on that business?
Aaron Jagdfeld: Yes. The supply chain ramp has been going well. I would say that there are a couple of our new product things that we've been kicking around here on the phone were probably a little bit, a few months delayed because of some of the things with the pandemic that have kind of created some challenges there. But in terms of moving to the supply chain, the new supply chain that we talked about, that's going very well. In fact, again, we've got a really good line of sight to those corporate average margins by the time we exit the year here. And we believe we're going to be kind of right on top of breakeven for that clean energy business by the end of the year and profitable as we exit the end of the year. So all of that's intact. And we continue to look at how we can continue to expand the supply chain as well, because if we think about the future here and what this could be, we're going to need more and bigger partnerships to bridge to where we think we can go in the next three to five years.
William Grippin: Got it. And then are you able to share how many megawatt hours of clean energy projects were shipped in the second quarter?
Aaron Jagdfeld: Yes. It was down sequentially. That's how kind of we kind of spelled it out. So rather than kind of go kind of quarter-to-quarter here with that pacing, we just are with a discrete number. We said it was down sequentially, but we're still sticking with the guidance range, albeit the lower end of the guidance range of 125-megawatt hours. But I think as you follow the industry as well on this and just that solar install capability that got really hit hard in Q2. Thankfully, it's coming back online. We have some really good evidence that it is. But we think the third and fourth quarters are going to be are going to be a lot of we're going to see a lot of growth there in getting these systems out there.
Operator: And I'll hand the call back over to Mike Harris for closing remarks.
Mike Harris: We want to thank everyone for joining us this morning, and we look forward to discussing our third quarter earnings results with you in late October. Thank you again, and goodbye.
Operator: Thank you again for joining us today. This does conclude today’s presentation. You may now disconnect.